Operator: Good day, ladies and gentlemen, and welcome to the Ocean Power Technologies Q2 2017 earnings conference call. My name is Leanne and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Andrew Barwicki, Investor Relations for Ocean Power Technologies. You may begin.
Andrew Barwicki: Good morning and thank you for joining us on Ocean Power Technologies conference call and webcast to discuss the financial results for the three-month period ended October 31, 2016. On the call with me today are George Kirby, President and CEO, and Matthew Shafer, Chief Financial Officer. George will provide an update on the company’s highlights for the quarter, after which Matthew will review the financial results for the second quarter. Following our prepared remarks, we will open the call to questions. This call is being webcast on our website at www.oceanpowertechnologies.com. It will also be available for replay later today. The replay will stay on the site for on-demand review. Last Friday, December 9, Ocean Power Technologies issued its earnings press release and filed its quarterly report on Form 10-Q with the Securities and Exchange Commission. All of our public filings can be viewed on the SEC website at sec.gov or you may go to the OPT website, www.oceanpowertechnologies.com. During the course of this conference call, management may make projections or other forward-looking statements regarding future events or financial performance of the company within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to numerous assumptions made by management regarding future circumstances over which the company may have little or no control that involve risk and uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. We refer you to the company’s Form 10-K and other recent filings with the Securities and Exchange Commission for the description of these and other risk factors. And now, I’d like to turn the call over to George to begin the discussion.
George Kirby: Thank you, Andrew. And good morning, everyone. Today, I’ll review our business operations and provide an update on key activities and developments in the quarter. Following this, Matthew will briefly review our financial results, after which Matthew and I will be available to answer any questions. First, we’re excited that the company is continuing to make measurable progress on our business plan on a number of fronts. Throughout the second quarter, we had two PowerBuoys operating off the coast of New Jersey. We announced performance validation of our commercial unit number one, PB3 PowerBuoy. And in December, we retrieved this PowerBuoy to prepare it for shipment to Japan in 2017 where it will go on the Mitsui Engineering and Shipbuilding. This first commercial PB3 has been ocean-tested since July 2016 and has generated over 1.4 MWh of electric power. It achieved a single day peak production of over 30 KWh during its deployment, which is an equivalent hourly average of over 1.25 KWs for that day. In October, we retrieved our precommercial PB3 PowerBuoy, which is currently being upgraded to commercial status as our unit number two. This precommercial PB3 PowerBuoy was used to complete our scope of work per our agreement with the National Data Buoy Center, or NDBC, consisting of integrating and demonstrating a self-contained, ocean-observing payload, also known as SCOOP. The SCOOP was powered by the PB3 and its data was transmitted real-time back to OPT and the NDBC. The demonstration of this combined system met all performance requirements during its deployment and we’re currently discussing next steps with the NDBC. We also installed a marine mammal detection sensor under the precommercial PowerBuoy as part of our agreement with the Wildlife Conservation Society, or the WCS. The objective was to determine the feasibility of a combined system which could communicate real-time mammal migration data by understanding any acoustic interactions between the sensor and the operating PB3. The sensor has been returned to WCS and its data is undergoing analysis. We recently achieved a significant milestone of approximately 45 million cumulative strokes over our commercial fleet of five power takeoffs or PTOs, comprised of both ocean deployments and accelerated life testing. This simulates a PTO fleet cumulative ocean operation duration of approximately three-and-a-half years. We continue to life test our PTOs under extreme laboratory conditions in order to validate reliability, which is necessary to achieve consistent three-year maintenance intervals of the PB3. We believe that our approach continues to demonstrate the reliability of our commercial-ready PTO design and provides significant credibility to the value proposition for our target markets. Last week, we announced a joint marketing agreement with Sonalysts. We view this partnership as a significant milestone in our commercialization efforts. We believe strategic partnerships are an important part in commercializing our new technology and a new product. These partnerships can be used to improve the development of overall integrated solutions to create new market channels, to expand commercial know-how and resources and geographic footprint, and to bolster product delivery capabilities and improve ramp-up time. Sonalysts maintains core technology and expertise in subsea wireless communications and autonomous undersea systems analysis, which we believe, when combined with the PB3 power and real-time communications platform, can potentially bring value to existing and future autonomous undersea vehicle infrastructure. Sonalysts also brings core competencies as a systems integrator, with advanced technologies in human system interfacing and big data processing. We believe this, combined with their long-standing presence in the defense market, brings significant new capabilities that are synergistic with ours and can enable us to aggressively pursue business opportunities in this and other markets such as oil and gas. In September, we announced a contract with the US Department of Defense Office of Naval Research to design a specialized mass-spring oscillating PowerBuoy. This PowerBuoy differs from the PB3, in that it would be a self-contained and would have no external moving components. The design will be an anchorless, station-keeping, low-profile PowerBuoy that would most likely power mission-critical surveillance sensors and the buoy’s control and propulsion systems. Phase one of the contract’s scope includes a system design and laboratory testing of a proprietary inertia-based mass-spring PTO, and the selection of an electric propulsion solution to be integrated into the PowerBuoy. The objective of this first phase is to design and optimize the inertia-based generation system, evaluate the buoy propulsion system, and carry out performance testing of critical PTO components. We currently have several patented solutions for mass-spring oscillating designs, and we believe we will be able to leverage our intellectual property to address the Office of Naval Research needs. The proposed system is scalable; and once completed, could expand our entire product portfolio with more product options into the commercial and defense markets. We recently held our first project review with the Office of Naval Research program officer who was pleased with our overall status and progress. In the second quarter, we completed a capital raise that netted the company approximately $6.9 million. We’re using the net proceeds for general corporate purposes, which include expanding our sales and marketing functions and may include application demonstrations and additional development and testing of PowerBuoy systems in order to progress and accelerate our commercialization efforts. In November, we received nearly $700,000 through New Jersey's Technology Business Tax Certificate Transfer Program. This program enables New Jersey-based companies with fewer than 225 US employees to raise cash to finance the growth and operations by selling net operating losses and R&D tax credits to unaffiliated corporations. The program is administered by the New Jersey Economic Development Authority and the New Jersey Department of the Treasury's Division of Taxation. We’re also happy to report that, in November, the United States District Court issued its final judgment approving the settlement of a shareholder lawsuit. At this time last year, we were developing the next generation products which we expected would feature an enhanced electrical storage system, a higher efficiency power management system, and a user-friendly interface providing even more flexibility to end users. We announced that this next generation buoy had undergone its critical design review and we expected that it would achieve a maturity level through extensive in-ocean and factory accelerated life testing that would allow us to proceed with a commercial product launch in 2016. In July, we accomplished our goal when we deployed our first commercially designed PB3 PowerBuoy off the coast of New Jersey and are now preparing to ship it to Mitsui Engineering and Shipbuilding in Japan for its first customer lease. We continue to aggressively target high-value markets, including oil and gas, security and defense, ocean observing, and communications, each of which we believe will drive significant value from our PB3 PowerBuoy power and real-time communications platform. I’ll now turn it over to Matthew who will review our financial results in the quarter. Matthew?
Matthew Shafer: Thank you, George. And good morning, everyone. I will now review results for the second quarter of fiscal 2017. For the three months ended October 31, 2016, we reported revenue of $200,000 as compared to revenue of $500,000 for the three months ended October 31, 2015. The decrease in revenue over the prior year was primarily related to the lower revenue from MES during the three months ended October 31, 2016 as compared to the three months ended October 31, 2015, which included revenue from our WavePort contract and billable work under our prior contracts with the US Department of Energy. The net loss for the three months ended October 31, 2016 was $1 million as compared to the net loss of $3 million for the three months ended October 31, 2015. This decrease is primarily attributable to lower selling, general, and administrative costs, and the decline in the fair market value of the common stock warrants liability. For the six months ended October 31, 2016, we reported revenue of $400,000 as compared to revenue of $600,000 for the six months ended October 31, 2015. The net loss for the six months ended October 31, 2016 was $4.8 million as compared to a net loss of $7.2 million for the six months ended October 31, 2015. Turning now to the balance sheet, as of October 31, 2016, total cash, cash equivalents, and marketable securities were $12.5 million, up from $6.8 million on July 31, 2016. As of October 31, 2016 and July 31, 2016, restricted cash was $300,000 for each period respectively. Net cash used in operating activities was $6.3 million during the six months ended October 31, 2016, which includes $500,000 of costs related to the litigation settlement and additional legal costs of $200,000 compared with $7 million for the six months ended October 31, 2015. As discussed on prior conference calls, we have taken a number of steps over the last month to reduce our cash burn rate, while focusing our technical, operating, and business development resources on key initiatives, particularly the PB3. We’re encouraged by our recent capital raise in October and continue to remain confident in our cash position. We anticipate having sufficient cash to maintain operations into at least the quarter ended January 30, 2018. With that, I'll turn it back to George.
George Kirby: Thank you, Matthew. Before we move on to Q&A, I would like to take a moment to discuss our product commercialization and business development efforts. Nearly two years ago, we accelerated our strategic pivot from a project based company to a product-based company, with a totally new go-to-market strategy. Over the last two years, we’ve focused on bringing a reliable product to market, one which is designed to survive a 100-year storm, and to have a maintenance-free interval of three years while operating in very harsh and inhospitable environments. To achieve this, our new management team essentially reengineered the product development approach, bringing and implementing best industry practice, design, and validation techniques of new products, which accelerated time to market. Likewise, we’ve been pursuing applications in new markets by spending considerable time on educating stakeholders in our technology and the unique value proposition that it bears. Make no mistake, this is a long-cycle business because entering a new market with a disruptive product, such as the PowerBuoy, requires time for end-user evaluation prior to leading to orders. Let me spend a few minutes to describe what it takes to ultimately generate revenues under the strategic shift initiated two years ago. Both the defense and the oil and gas industries evaluate new technologies against a scale called Technology Readiness Level or TRL, which describes the maturity level of new technology. These qualifications include, among others, a multitude of design specifications and criteria, design and manufacturing procedures, vendor qualification, and technical risk management. In the case of the oil and gas industry, one example of the TRL is based on the American Petroleum Institute’s recommended practices, which generally ranks technology on a scale from zero, which is an unproven concept, to 7 which is a field-proven final solution. Based on the published criteria for TRL, we believe that the PB3 has met the criteria to achieve a TRL 6, which is an installed and fully-tested production unit. Prior to securing commercial orders of any significance, oil and gas end users require that a new system operate in the intended application for a set duration in order to prove out the application. It is these specific demonstrations which we’re working toward and which highlights the need for strategic partnerships around the highest potential applications in order to achieve sustainable revenues. Since 2015, we’ve engaged in nearly 200 stakeholders within all of our target markets, both domestically and internationally. Each engagement is a unique company, firm, research or academic institution, or governmental regulatory entity. And in many cases, we’ve met with parties on several occasions as we advance discussions of our products and applications. 77% of total engagements are in the United States and three quarters of these US engagements are in the oil and gas market. In the US market alone, 15% of our oil and gas engagements have been with owner and/or operators. But most, 55% to be exact, have been equipment and service providers to the oil and gas industry. Most applications, around 82%, are focused on subsea operations, such as chemical injection and power distribution systems, or services related to the extending the life of production fields, such as inspection services and surveys, all of which benefit from monitoring, power augmentation or power redundancy. Also, most applications require or benefit from real-time data communications. A smaller percentage of applications are focused on information collection for front-end engineering and development, or FEED. Although we believe that once market adoption is achieved in the other application areas, FEED could be an area of growth. Most of our discussions occur with the evaluators, implementers and final decision-makers for our solutions. 42% of all discussions with owners, operators, and equipment and service providers are at the executive level and over a third have advanced through technology discussions and application exploration. One such relationship, Sonalysts, has resulted in a joint marketing agreement and we believe that more could result in the coming months. Our international business development activities have resulted in similar results as we continue to find ways to expand our geographic footprint across our target markets. In conclusion, we’ve come a long way in developing a new product which is proving to be valued by our target markets. We’ve made significant headway in driving our product into markets with the end goal of achieving sustainable revenues. And we’re finding ways to accelerate this process. We’re focused on improving our products and removing costs, as well as strategically developing next-generation products, driven by the voice of the customer. And we continue to focus on achieving operating efficiencies in order to maximize our financial runway, while finding the right talent to help us move toward our business objectives. As always, thank you for your support and time today. And, operator, we’re now ready to take questions. Thank you. [Operator Instructions] And I’m not showing any questions at this time. I would like to turn the call back over to George Kirby for any further remarks.
George Kirby: Thank you all once again for attending today's call. And if you have any further questions, please don't hesitate to contact us. Otherwise, we look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may all disconnect. Everyone, have a great day.